Operator: Good day and thank you for standing by. Welcome to the Wish's First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only-mode. After the speakers' prepared remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Randy Scherago, Wish's Vice President of Investor Relations.
Randy Scherago: Hi everyone and welcome to Wish's first quarter 2022 earnings conference call. I am Randy Scherago, VP of Investor Relations and joining me today are new CEO, Vijay Talwar and our CFO, Vivian Lou. Today's prepared remarks have been pre-recorded. There's also a slide deck that has been posted to our IR website, which is available for your reference. Once we are finished with Vijay, and Vivian's remarks, we will hold a live Q&A session. The remarks made today include forward-looking statements that are related to among other things, our financial expectations, business and turnaround plans, the turnaround timelines, expectations regarding merchant relationships, the potential impacts of our strategic, marketing, and product initiatives, including ad spending, and anticipated returns of our investments and their ability to drive future growth. Our actual results may differ materially from the results implied by these forward-looking statements if certain risks materialize or assumptions prove incorrect. Forward-looking statements include risks and uncertainties which are described in today's earnings release and our periodic reports that are filed with the SEC. Any forward-looking statements that we make on this call are based on our beliefs and assumptions today, and we disclaim any obligation to update them. Also, during this call, we will present both GAAP and non-GAAP financial numbers and metrics. A reconciliation of our non-GAAP to GAAP results is included in today's earnings release, which you can find on our Investor Relations website, which is also filed with the SEC. A replay of this call will be posted to our Investor Relations website. At this time, I would like to turn over the call to our company CEO, Vijay Talwar.
Vijay Talwar: Thank you, Randy. I would like to thank everyone for joining our first quarter 2022 earnings call today. On this investor call, I will provide a quick update for everyone on our first quarter financial highlights and operational achievements. After my initial comments, Vivian Lou, our CFO will discuss the first quarter numbers in more detail. Then I will provide some closing comments before opening up the call to your questions. In the first quarter of 2022, total revenues were $189 million. This was a year-on-year decrease of 76%, which was largely driven by a lower advertising spend in Q1. We generated an adjusted EBITDA loss of $40 million, which was favorable to the $60 million to $70 million EBITDA loss that we had previously forecasted. In Q1, we finished the first quarter with cash, cash equivalents and marketable securities of approximately $1 billion. At this time, I would like to remind our investors of the three foundational pillars that I talked about on the last quarter's call. First, we are committed to constantly improving our consumer experience. Second, we will continue to strive to deepen our merchant relationships. And third, we will work as a cohesive team to achieve operational efficiencies. We believe that if we execute on all three pillars, we should experience better metrics, higher margins and substantial revenue growth. The first pillar is improving the consumer experience. Over the past three months, we've made many positive strides to improve our consumer experiences and consumer satisfaction rates. On our last earnings call, we spoke about our plans for a Wish app redesign. During the first quarter, the new redesigned app was successfully deployed to Android globally, along with the addition of a deal's hub feature. The app will be deployed to iOS globally by the end of Q2. The App redesign has already begun to show some higher levels of engagement and traction with our consumers. In February, we launched Wish Clips, which is our shoppable video feature. Wish Clips is available globally to all Android and iOS consumers. Our marketplace merchants have been rapidly adopting this feature and have already uploaded more than 170,000 high-quality shoppable videos. We are excited to share that with the deployment of Wish Clips, we're already seeing positive trends in buyer engagement. We're making great strides to become a more consumer-focused company. We have seen improvements in customer service response times and poor shipment refund rates. I'm proud to report that our investments across our shopping experience, customer service, pricing, shipping and delivery have driven significant improvements in our Net Promoter Score, or NPS. NPS is considered a critical metric in determining a company's current success with consumers. We experienced positive improvements in NPS from December to January and further improvement from January to February and from February to March. In total, we've seen a doubling in our NPS score in a matter of a few months. Based on the improving metrics in our business operations, we plan to ramp up our advertising spend earlier than originally forecasted. Given our early green shoots, we envision ramping up our advertising spend across our existing and new marketing channels in June 2022 rather than later in Q3. Our second pillar is deepening our merchant relationships. In Q1, we began testing our new pricing strategies to improve marketplace orders and sales. Based on our positive pricing test during Q1, these new pricing strategies resulted in about 20% increase in orders versus our control group. Given the success with the new pricing test, we plan to roll this out to all of our merchants in Europe in Q2….. Over the past few months, we've been stepping up our efforts to enhance our flagship program called Wish Standards and to ensure compliance with these standards. This includes a new invite-only policy for onboarding new merchants onto our marketplace. We also continued removing noncompliant merchants faster and more efficiently. We continue to provide logistics services as part of our end-to-end solution for our merchants. The percentage of merchants using our logistics services continued to increase year-on-year during the first quarter of 2022. Time to door and on-time delivery rates will continue to remain a high priority in the near future. Now, I would like to talk about our third pillar, which is working as a cohesive team to achieve operational efficiencies and take care of our employees. Following the reduction in workforce that took place in Q1, the current team continues to demonstrate a great deal of determination in working quickly and systematically to achieve operational efficiencies and move forward on our turnaround strategy. For example, in March, the company’s shipping operations in Shenzhen and Shanghai were both impacted by COVID shutdowns. Our employees on the ground in China responded quickly and moved more than 90% of our shipments out of the Shenzhen and Shanghai shipping hubs into other hubs, with minimal impact on our deliveries. We’re actively monitoring the situation in China, and we will continue to adapt our logistics operations to best serve our consumers. Wish has approximately 200 employees in Shanghai. During the lockdown, certain parts of the city experienced shortages of everyday essentials. The local Wish management team found a local partner to deliver supplies to our employees. Many Wish employees in Shanghai received the packages within days and continue to receive supplies throughout the lockdown. Our management team remains committed to doing everything that we can to assist our employees during these challenging times across the globe. Our people are our greatest resource, and we are committed to their success and their well-being. At this time, I will turn over the call to our Chief Financial Officer, Vivian Lou
Vivian Lou: Thank you, Vijay. Today, I will discuss the financial results for the first quarter of 2022. I will also provide adjusted EBITDA guidance for the second quarter and additional information on the revenue trend through the month of April. Our Q1 adjusted EBITDA was a loss of $40 million, an improvement over a loss of $79 million from Q1 2021. The EBITDA performance also compares favorably to our Q1 EBITDA guidance, which was a loss of $60 million to $70 million. Our ad spend remained at a reduced level throughout Q1, which continued to impact our user metrics and the financial performance. We had 27 million monthly active users and 28 million last 12 months active buyers in Q1, a 73% and a 54% decline, respectively, year-over-year. Total revenues were $189 million, a decline of 76% year-over-year. This revenue decline was across core marketplace, product boost and logistics. Q1 gross profit was $64 million, a decline of 85% year-over-year. Gross margin was 34% versus 57% in Q1 2021. The decline in gross margin was primarily driven by a decline in marketplace profitability and the fact that relative to last year, the logistics business contributed a higher percentage to the total revenues. Total operating expenses were $126 million, a reduction of 78% year-over-year. Operating expenses were 67% of revenues compared with 74% of revenues in Q1 2021. The drop in our ad spend accounted for a majority of the reduction of operating expenses. While the decline in revenues and other top line metrics are significant from a year-over-year comp standpoint, it is important to highlight that our ad spend in Q1 was less than 10% of that in Q1 last year. We are committed to building a flywheel that is more efficient with ad spend and a platform that is propelled by affordable quality, reliable services and the fun shopping experiences. Our Q1 free cash flow was negative $148 million, a significant improvement from a negative free cash flow of $354 million in Q1 2021. Quarter-over-quarter, the operation consumed additional $98 million in cash. The higher cash consumption was mainly driven by lower EBITDA performance, further paydown of liabilities and one-time expenses such as severance payments associated with the workforce reduction announced earlier this year. Cash flows and EBITDA will continue to be our priorities throughout the turnaround phase. We ended Q1 with a solid position of $1 billion in cash, cash equivalents and marketable securities. Now turning to our outlook for Q2 2022. We expect adjusted EBITDA to be a loss in the range of $90 million to $100 million. Q2 EBITDA loss is expected to be higher than that in Q1, mainly due to two reasons. First, as Vijay shared earlier, we plan to increase ad spending in Q2, encouraged by positive leading indicators, such as improved NPS and the refund rates. Secondly, the pricing experiments conducted in Q1 have proven to be effective in increasing user retention and conversion rates. Therefore, we have decided to expand the pricing changes to more markets in Q2. Increased added spend and the pricing adjustments are expected to be unfavorable to revenues and EBITDA in the near term. As a reference point, our revenues in April 2022, the first month of Q2 were down approximately 30% relative to our revenues in January, the first month of Q1. However, we believe that both measures are the right steps to building a more robust and profitable business for the long run. The strengthened operations and upcoming new growth initiatives will put us in a strong position to restart the flywheel in the second half of 2022. We are excited by the progress made to date and as the new opportunities ahead. With that, I will hand it over back to Vijay to discuss our new growth initiatives.
Vijay Talwar: Thank you, Vivian. Let me expand on what Vivian was just talking about. There are two major initiatives that we plan to launch in the second half of 2022 that I would like to share with you today. The first is the launch of a comprehensive women's fashion category. The second is the rebranding of WISH Let's start with fashion. Over the past few months, we've been experimenting with various fashion buying experiences for our marketplace consumers. We have seen very encouraging results from those tests over the past few months. I'm excited to announce that we plan on relaunching our fashion category on the wish marketplace in the second half of this year. This will be a discovery first, inspirational and an engaging shopping experience. Early beta tests will begin this quarter. The timing of the fashion launch will enable us to capture the important holiday selling season for women's fashion. Second is our plan for a complete rebrand of WISH. I've mostly talked about how we are changing operations at WISH, but we are fundamentally changing the entire WISH experience. To amplify that to our consumers, we aim to launch in August a rebrand of WISH with a new logo, new design image and communications. The campaign, which will run in each of our key markets from August to the holiday season and will shine a light on some of the recent changes at WISH. To close, I leave you with these final thoughts. First, we have and we will continue to make excellent progress with key metrics such as NPS and on-time delivery rates. Second, early green shoots enable us to increase our advertising spend earlier than we had originally planned as we continue our 18- to 24-month turnaround strategy. And finally, I would like to thank our dedicated employees who have worked tirelessly to execute our turnaround strategy. We are already seeing good progress from those efforts and we are excited for vicious future. Thank you for joining us today. I will now open up the call to questions from analysts and investors.
Operator: [Operator Instructions] Our first question comes from the line of Kunal Madhukar of UBS. Your line is open.
Kunal Madhukar: Hi. Thanks for taking my questions. Congratulations on the green shoots that you're seeing. A few, if I could, just so many questions. So on the MAU side, the 27 million MAUs what percentage of the $27 million was like organic, where you didn't have to pay anyone anything.
Vivian Lou: So I don't know if we have ever reported that level of details. What I could say is that the -- we have reduced our ad spend significantly since last August. As I mentioned in Q1, the amount of ad spend in total is less than 10% of what we spend in Q1 2021. And therefore, the MAU of new I guess, MAU acquired through the ad dollars, it's going to be very, very small. I would say I have to put an estimate most of them will be returns or recurring users on the platform. Just for the share volume of the ad spend we spent in Q1, which is very small. And I think the existing product users will mostly be returned to customers.
Vijay Talwar: Yeah. I mean, why we can't share a number, I would just say a majority of it is through organic.
Vivian Lou: Yeah.
Kunal Madhukar: Okay, great. And then, what percentage is Android. So what percentage is seeing the new experience?
Vijay Talwar: And again, we don't share an exact number, but Android is a majority of our customers. And that's partly driven by -- it's slightly skewed towards Europe and rest of the world versus the U.S. That's one of the big differences that we see. But it is over 50%, again.
Kunal Madhukar: Okay. And then, as we think of like 2Q, how should we think of like revenue and free cash flow trends versus 1Q? What are the puts and takes on that guide?
Vivian Lou: Yeah. So we don't guide on revenue or cash flow. We do guide on EBITDA. And based on the guidance versus the actual performance in Q1, we already said at the Q2 EBITDA will be negative $90 million to $100 million versus our actual Q1 with $40 million. And we also give the indication of the April revenue versus the month one of Q1 revenue. And you guys can take a lot of information from those two numbers, I suppose. And I think the -- from a cash flow standpoint, we think the cash -- so Q1, there is some one-time cash consumption that we do not expect to reoccur in Q2 -- but in Q2, if the EBITDA is lower than Q1, so that's a headwind from cash plan for Q2. So a long way of saying there are takes and gives and takes an offsetting. End of the day, it will be -- I would say, probably more aligned with our EBITDA guidance for Q2 versus the cash flow versus EBITDA for Q1. Hopefully, that's enough information.
Vijay Talwar: Yes.
Kunal Madhukar: No, that totally is. And one last one, if I could, so I'm curious why you're accelerating or advancing the marketing spend to June from August or from 3Q, when you're going to do a whole rebrand with like logo and everything else, and that is going to start in August. Would that be like -- if you can help me understand the rationale there.
Vijay Talwar: Yes, I can step in on that one. So I think the thing that we did find and again, this is also talking to many of our partners where we spend our digital marketing dollars, the ramp-up in digital marketing is not as easy as kind of doing a multi-channel rebranding effort. So by starting in August from multi-channel rebranding, let me start with that day first. That's the ideal time because of the fact that we are trying to catch the holiday season, if you will, right? So I want to kind of start early for the holiday season and ramp up from August all the way through kind of November, which is kind of our peak kind of month. In terms of June and July, there will be months that will -- what we realized is you can't go from a situation where you sort of cut back marketing by 80% to 90% and suddenly try to ramp it up all in one month. So June is specifically geared towards more of the digital channels and starting to use those channels to start to ramp up so that we can start to measure the ROS [ph], see the improvements and slowly, but surely build on that marketing base and those marketing investments. So they will sync up. The rebranding will be just a part of it. It's almost like you think of it as Phase I, Phase II and Phase III. Phase I will be kind of the early learnings and the early testing, predominantly kind of the digital channels in June, July. August, September will be the ramp-up of digital channels as well as a lot on the branding, which will include multiple channels including things that are everything from organic SEO type stuff to affiliates, to things like TV and radio and other channels as well. And then you get into the peak, which is much more about October -- I mean, October and November. And so it's kind of more -- it's really more smoothing out the curve in our original plan versus a much bigger spike that we had originally planned for.
Kunal Madhukar: Okay. Got it. And just a quick one then. So the June, July step-up in marketing will not be performance marketing. It would be more digital channels, basically smoothing the curve on the spend?
Vijay Talwar: No, actually, sorry, maybe I misspoke when I speak to digital, I do mean performance marketing.
Kunal Madhukar: Okay. Okay. Got it. Thank you.
Vijay Talwar: That's one of the distinctions in June, July, it will be largely driven by performance marketing, whereas the other channels kick in more in August, September, October, November. Sorry for misspoke.
Kunal Madhukar: Thank you. Thank you.
Vijay Talwar: Yes.
Operator: Thank you. [Operator Instructions] The next question comes from the line of Stephen Ju of Credit Suisse. Your line is open.
Stephen Ju: All right. So thank you. So I'm thinking that you're probably not going to be spending performance marketing dollars, as you say, unless you feel like the new site experience has been repaired. But at the same token, we're now, I suppose, looking at a completely different experience versus what Wish was before. So can you talk about what your expected customer lifetime value is now? I mean, how that has changed versus pre-pandemic levels? And how your anticipated payback period may look now versus what might have been before? So I'm just thinking that this is probably now transform business, hopefully. So I'm just wondering what the long-term margin outlook with the pace and how the business has changed overall? Thank you.
Vijay Talwar : Yes. I think as Vivian said earlier, if you think about our retention rates, right, or our consumers who are coming back, we're largely kind of dealing with a smaller subset of customers who have been shopping at Wish. And our main focus has been on how do we get them to come back and shop with us more, which will drive lifetime value, but we're not ready at this point in time to share or make any predictions on lifetime value at this point. So -- but I guess the overall piece is exactly what you said, which is that our coming in point when we started with this whole thing, our consumer churn was a much higher rate, right? So if you go back to last year in June, July, August, September, there was a much higher rate. What the work that the team has done over the last six months, over the last nine months is really to plug that leaky bucket so that we can get more consumers back into our fold. And that is what we just reflected both in terms of our higher NPS scores, in terms of a higher customer satisfaction rates, higher on-time delivery. And just in general, people having an overall better experience as you described. So what we are planning to do now is, kind of, then open the aperture, so that a lot more new consumers starting slowly in June and July, but much more aggressively in August through November, bringing new consumers and we will need to test the data with new consumers, because the existing consumers could potentially behave slightly differently than new consumers, right? So -- and I think the interesting part for Wish is these consumers in some sense, given that we had such a large installed base, right, it's over 500 million people, if you think about the lifetime of Wish. What happens is, in a lot of cases, these are consumers who experience Wish or interactive with Wish before. But it's our job to convince them that this new Wish is different and the fundamental experience is different. And that's why the rebranding plays its own part in making that whole process come alive. So hopefully, there's enough insights in there in terms of what I was talking about for you to understand how we are thinking about the problem.
Stephen Ju: Thank you.
Operator: Thank you. Our next question comes from Laura Champine of Loop Capital. Your question please.
Laura Champine: Thank you for taking my question. It's about the ramp-up of advertising. You mentioned that you can't bring it all back in one month, but how significant of a ramp are you thinking about for June at this time?
Vivian Lou: We are not -- well, so it will be a material ramp, but depending on the definition material, right? So we were taking a pretty cautious approach, and it's not going to double. I mean, let me put it that way, it's not steeper ramp. But it will be mature enough to hopefully move the needle and it tested out the effectiveness of all the channels, alternative channels that Vijay described. And the more major step-up in the ad spend will really start late Q3, or I should say, August to September and throughout Q4. So that's where the major step will take place in conjunction with our fashion launch and just overall growth strategy, as we shared in the earlier call. But yeah, we do want to test our hypothesis starting late May and even June and with a gradual ramp. But like I said, it's probably not going to be double in those two months.
Laura Champine: Got it. Just one additional question on regional trends. It's been a while since we got the mix of the business, Europe versus the Americas versus Asia, I would love to get an update on that? And any significant differences that you're seeing by region at this time?
Vivian Lou: No. The short answer is the mix is still relatively steady in the sense that from the buyer market standpoint, North America and Europe are the major buyer markets for us. And Asia is small, immaterial from a buyer standpoint, and I wanted to highlight one thing that we didn't touch on in the prepared remarks, the Ukraine war actually is impacting our bio marketing in Europe as everyone anticipated. And I think from a regional standpoint, we saw Europe is not as strong as North America in Q1. So that's the kind of indication the upward is impacting the customer behavior to the mentality, there are concerns. But from the mix standpoint, we don't think there will be a material shift. Europe will continue to be a very major strategic market for us and so is North America.
Laura Champine: Got it. Thank you.
Operator: [Operator Instructions] This concludes the question-and-answer portion of today's call. At this time, I would like to turn the conference over to WISH’s CEO, Vijay Talwar for closing remarks.
Vijay Talwar: I don't have anything specifically to add other than to say, like where I left off. I wanted to just say a big thank you to the team. I know it's been a very tough three months for the team, given the reduction in workforce and all the work that's been done in the last 3 months as well as the work ahead of us. So I just wanted to end this call with a thank you to the team and also to communicate the amount of excitement that we feel as we're looking at kind of the fully redesigned WISH, and we will share more of that with you along the way. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may all disconnect, and have a wonderful day.